Operator: Ladies and gentlemen, thank you for standing by, and welcome to the MKS Instruments’ Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions] After the speakers’ presentation, there will be a question and answer session. [Operator Instructions]  I would now like to turn the call over to your host, David Ryzhik.
David Ryzhik: Good morning, everyone. I am David Ryzhik, Vice President of Investor Relations, and I’m joined this morning by John Lee, President and Chief Executive Officer; and Seth Bagshaw, Senior Vice President and Chief Financial Officer. Yesterday, after market close, we released our financial results for the fourth quarter and full year 2021, which are posted to our website, mksinst.com.  As a reminder, various remarks today about future expectations, plans and prospects for MKS comprise forward-looking statements. Actual results may differ materially as a result of various important factors, including those discussed in yesterday’s press release and in the most recent Annual Report on Form 10-K and any subsequent quarterly reports on Form 10-Q for the company. These statements represent the company’s expectations only as of today and should not be relied upon as representing the company’s estimates or views as of any date subsequent to today, and the company disclaims any obligation to update these statements. During the call, we will be discussing various financial measures. All forward-looking financial measures exclude any contribution from Atotech Limited, the acquisition of which we expect to close by the end of the first quarter of 2022. Also, unless otherwise noted, all income statement-related financial measures will be non-GAAP other than revenue. Please refer to our press release for information regarding our use of non-GAAP financial results, including reconciliation to our GAAP measures.  Now I’ll turn the call over to John.
John Lee: Thanks David. Good morning, everyone and thank you for joining us today. Before I discuss our quarterly results and current market trends, I would like to take a moment to reflect on the past year. 2021 presented MKS with a number of unexpected challenges and unique circumstances and also significant opportunities for growth, and we seized them. Against this backdrop, I'm extremely proud of what our employees accomplished this past year, as we marked our 60th anniversary. Our strong fourth quarter kept a year in which we delivered record performance in both semiconductor and advanced markets, despite unprecedented supply chain constraints and continuous COVID disruptions. We overcame these challenges by executing with laser focus on meeting our customers’ needs, while ensuring the safety and wellbeing of our employees, which remains our highest priority.  Our focus on meeting our customers’ needs did not impact our strategy for the long term. We invest in a number of areas to drive organic growth, while executing on strategic M&A opportunities. Our acquisition of Photon Control, which we closed in July, brought us critical temperature sensing, which is a seamless fit within our surround the chamber portfolio. And we expect our pending acquisition of Atotech will add valuable chemistry expertise, enhance the breadth of our innovation capabilities, and accelerate our customers’ roadmaps in this era of miniaturization and complexity.  We also made important strides in strengthening MKS by prioritizing our corporate social responsibility efforts. We issued our inaugural CSR report, in which we articulated our strong commitments to diversity, equity and inclusion, as well as environmental management, employee development, and governance. All of these achievements combined with attractive industry tailwinds positions MKS for an exciting 2022. Now let me discuss our fourth quarter results in more detail. We delivered revenue of $764 million and net earnings per diluted share of $3.02, both above the midpoint of our guidance range. Sales to our semiconductor market further strengthened in the fourth quarter, growing 1% sequentially, and 26% year-over-year. Our results were strong across the board from our well-established vacuum subsystems portfolio to our emerging photonics business. With our broad and unmatched portfolio, which we estimate serves greater than 85% of WFE, we play in every critical semiconductor manufacturing process in the world today, including deposition, etch, wet clean, lithography, metrology and inspection. Our performance this past quarter and year was a clear reflection of that.  Demand across our vacuum portfolio was robust, led by another strong quarter in RF Power Solutions. We continue to extend our market leadership in RF Power for dielectric etch, particularly for 3D NAND. We believe we took additional market share in RF power generators in 2021, on top of our gains in 2020. This puts us in an outstanding position looking ahead and we anticipate industry investments into vertical scaling will be a driver for years to come. We are also executing on our strategy to gain share in RF Power for conductor etch. As a reminder, this is a meaningful untapped opportunity for us and we believe we can harness the technical expertise and know how that define our leadership in dielectric etch and extend that into a growing share position in conductor etch. In the past, we have talked about how important it is to secure design wins for the future growth and we are now beginning to see revenue from these design wins in conductor etch. Though we are still at an early stage, the incremental progress we are making is tangible and is corroborated by multiple OEMs ramping with MKS RF Power generators for conductor etch.  We also delivered record quarterly revenue in a number of other categories such as our market leading pressure measurement, and plasma and reactive gas solutions. We continue to see healthy demand for our dissolved ozone and dissolved ammonia solutions used in wet clean applications, with particular interest from our foundry customers. We deliver another quarter of significant sequential and year-over-year growth in photonics solutions for semiconductor applications, driven by the lithography, metrology and inspection customers, as well as critical temperature sensing for etching customers. As we look ahead to the first quarter of 2022, we expect revenue in our semiconductor [phonetic] market to be consistent to slightly down with fourth quarter levels. Demand trends remain strong, but supply chain constraints will continue to be a factor near term.  Shifting to our advanced markets, revenue exceeded our expectations growing 6% sequentially in the fourth quarter and 1% year-over-year. We were pleased to see a recovery in revenue from industrial applications and we also delivered healthy sequential growth in advanced electronics applications. Demand for our flexible PCB via drilling solutions was consistent with our expectations. As we look into the first quarter, we have less visibility than usual into the flex drilling market due to the uncertainty associated with supply chain constraints. As visibility improves, we are well positioned to quickly respond to our customers’ needs. We continue to focus on our high density interconnect via drilling opportunity, leveraging the successes we have already made in high-volume manufacturing. We received a follow-on multi unit order for our Geode HDI solution from one of our key customers that previously qualified us that has been operating multiple tools over the past year in high volume production. We also received a follow-on design window from another customer, setting the stage for additional orders in the future, as this customer expands deployment of our Geode tool to more applications and facilities.  Moving to the first quarter of 2022, we expect revenue from our advanced markets to be consistent to slightly down with fourth quarter levels. Before I hand the call over to Seth, I wanted to note that we continue to expect to close our pending acquisition of Atotech in the first quarter. Upon closing, MKS will occupy a unique position as a foundational provider of technology solutions across semiconductors, advanced electronics, and an array of attractive specialty industrial applications. The majority of applications in these markets are targeted at addressing the long-term trends of miniaturization and complexity in enabling advanced charts [phonetic]. Our integration planning activities are on track to ensure that we are fully ready to hit the ground running once we close.  In the meantime, as we continue to interact with the world-class employees at Atotech, we're even more excited about the opportunities that lie ahead for Atotech’s electronics and general metal finishing businesses and we look forward to welcoming the Atotech team to the MKS family.  And now, I’d like to turn the call over to Seth. 
Seth Bagshaw: Thank you, John. MKS kept another record year of revenue and profitability, despite the well known global challenges John discussed earlier. These results are both reflection of the strong cycle of tailwinds MKS allowed to across our semiconductor advanced markets, as well as is the result of the hard work, talent and dedication of our global employees. While our financial performance in 2021 was exceptional, we are excited to build upon a strong foundation with our pending acquisition of Atotech, which will accelerate our strategy of delivering an even more comprehensive set of technology solutions in the era of miniaturization and complexity.  I'll discuss our fourth quarter and full year results and provide additional detail and guidance for the first quarter of 2022. Starting with the fourth quarter, sales were a record $764 million, up 16% year-over-year, and up 3% sequentially. Fourth quarter sales to the semiconductor market set another record at $495 million, up 26% year-over-year, and up 1% sequentially, reflecting broad-based demand across our portfolio and the strong execution of our world-class operations team. In the past earnings calls, we discussed our breath and unique exposure to all major semiconductor manufacturing processes and our fourth quarter results reflected that diversity. Not only did the sales of our vacuum subsystem to semiconductor customers grow 19% year-over-year, but sales of our photonic solutions portfolio grew organically more than 50% year-over-year, and grew 90% year-over-year with our Photon Control acquisition.  We continue to executing on our strategy to gain share with key lithography, metrology, inspection customers. Our photonic sales to the semiconductor market exited 2021 at well over a $300 million annual run rate. We continue to progress on additional design win opportunities. Fourth quarter sales to advanced markets were up – were $269 million, up 1% year-over-year and up 6% sequentially. We saw recurring revenue from industrial applications and delivered strong sequential growth in sales to advanced electronics applications such as PCB cutting and IC substrate drilling, while it offsets seasonally muted flexible PCB via drilling system systems demand.  As John noted, we see an encouraging follow-on demand for our HDI solution from customers that have previously installed and geo tool high volume manufacturing applications. We believe our success in deploying our HDI tool to high volume environments is a clear indication of market acceptance. And once the Atotech transaction closes, we focus on leveraging our combined expertise in HDI market to accelerate our customers’ roadmaps and reduce the critical time to market.  For the fourth quarter, revenue split between our semiconductor and advanced markets was 65% and 35% respectively. Fourth quarter gross margin was 46.4%, which exceed the midpoint of our guidance by 40 basis points and grew 70 basis points year-over-year. Our gross margin performance, which includes previous anticipated increases in input costs, reflection of our strong operational execution and broad based ongoing initiatives to continue to drive margin expansion through our long standing profit and cash recovery program discussed in our Analysts Day in December 2020.  Fourth quarter operating expenses were $147 million, slightly down sequentially, at the low end of our guidance range. Fourth quarter operating margin was 27.1%, flat sequentially and up 240 basis points year-over-year, reflecting effective cost control and strong operating leverage in our financial model. Adjusted the EBITDA in the fourth quarter was $228 million resulting in adjusted EBITDA margin of 30%. Net interest expense for the fourth quarter was $6 million and a non GAAP tax rate was approximately 16%.  Net earnings for the fourth quarter were $168 million, with $3.02 per diluted share. In terms of working capital, day sales outstanding with 53 days in the fourth quarter, compared to 54 days at the end of the third quarter. Inventory turns with 2.8 times in the fourth quarter compared to 2.9 turns in the third quarter. Operating cash flow for the fourth quarter was a record $194 million and free cash flow was also a record at $171 million. In the fourth quarter, we made a dividend payment of $12 million or $0.22 per share.  Exiting the fourth quarter, we maintained a strong balance sheet and liquidity position with cash and short-term investments at a record over $1 billion, which well positions us ahead of the pending Atotech acquisition. Our term loan principal balance was $824 million at the end of the fourth quarter. We exited the quarter with $218 million net cash balance.  Moving on to full year 2021 results, sales were a record $2.9 billion, up 27% year-over-year. With a record 2020 year, semiconductor sales for 2021 were up 32% to a record $1.8 billion with broad base strength across our vacuum and photonics portfolios. Advanced market sales were up 19% to a record $1.1 billion. Growth was led by strong result in advanced electronics applications where we are well positioned with an extensive array of lasers, optics, motion in via drilling systems, serving PCB, solar display, and electronics components applications.  As we told at our Analyst Day, we expect advanced electronics applications to be a long-term growth driver for our advanced markets, given the increased need for advanced laser-based manufacturing processes to solve miniaturization in complex electronics. That’s exactly what we experienced in 2021. Moreover, we also experienced growth in our other advanced market applications such industrial, life and health science, and research and defense.  2021, the revenue split between our semiconductor and advanced markets was 62% and 38%, respectively. Gross margin was 46.8%, up 160 basis points from 2020. Operating margin was 27%, up 440 basis points from 2020. Our incremental growth and operating margins for 2021 were 53% and 43% respectively, exceeding the long term financial model we outlined at our Analysts Day. This strong operating leverage was achieved despite the global supply chain challenges and cost inflation we are experiencing. Net earnings were a record $634 million or $11.38 per diluted share, both of which grew at twice the rate of our revenue growth. For 2021, operating cash flow was a record $640 million and free cash flow was a record $553 million.  As John mentioned, Atotech integration activities are progressing very well and funding the financing will coincide with the close of the acquisition, and until then the financing remains subject to customary ticking fees. I'll now turn to our first quarter outlook which excludes any contribution from Atotech. We estimate first quarter revenue of $750 million plus a minus $30 million. This estimate includes headwinds of industry-wide supply chain constraints, which we expect to persist through the first quarter. However, overall demand trends are expected to remain strong. We estimate first quarter gross margin of 45%, plus or minus 1 percentage point. The primary driver behind the sequential declining gross margin is higher cost inflation associated with supply chain constraints. We estimate operating expenses of $153 million, plus or minus $4 million. First quarter net interest expense is expected to be approximately $6 million and our tax rate is expected to be 19%. Given these assumptions, we expect our first quarter net earnings of $2.57 per diluted share, plus or minus $0.25.  I'd like to now turn the call back the operator for Q&A. 
Operator: [Operator Instructions] Our first question comes from Krish Sankar with Cowen & Company. 
Steven Cohen: Hi, this is Steven Cohen on behalf of Krish. Thank you for taking my questions. Yeah, first question if I could on the advanced markets. So just in terms of the commentary regarding the sequential trends there for the March quarter, it sounds like it's consistent to down slightly sequentially. Just curious, like is that more of a function that supply constraints or is there some downward trends in the end markets that you guys are playing in describing that? And also within it, is China – in terms of geographically, is China a strong influence on that sequential trend this quarter? 
John Lee: Hi, Steven. This is John. Thanks for the question. We have supply constraints for sure that are affecting our semiconductor market but also advanced markets similar kinds of components. So that's part of it. A little part of it also is the kind of less visibility that we have in Q1 on some of our advanced markets, businesses, but in general, the demand for those kinds of products in our advanced markets remains very strong, actually. So it's really about constraints and a little bit of uncertainty on our customer standpoint. As we said, in our prepared script, when that visibility changes, and it will, we will be in a very good position to deliver on that very quickly. 
Steven Cohen: Okay. Got it. Thanks. And from a follow up, in terms of the component constraints, I was just wondering if you could offer any additional color on the types of components that might be affecting both your semis markets and also advanced markets supply chain? Is it the same type of semis or other hardware components across the last 90 days or is the choke point like sort of switching between different components as time goes on? 
John Lee: Steve, it is very similar to what we've said in the past, it's still the kinds of electronic components that are, you know, kind of from legacy fabs, so it's really not necessarily the most advanced types of electronic components. And these components are shared in multiple industries and that's where we're seeing the constraints, so no change really from the past. 
Steven Cohen: Okay. And is it the same type of components across both, for example, photonics products, as well as semis products and advanced photonics? 
John Lee: Yeah, they're similar because all kinds of products, either in our photonics portfolio or our semi portfolio usually have controllers and PCB boards with electronic components on it.
Steven Cohen: Okay. Got it. Thank you and nice job navigating the current environment. 
John Lee: Thanks, Steven. 
Operator: Our next question comes from Tom Diffely with D.A. Davidson.
Tom Diffely: Yeah, good morning. Thanks for the question. Well, maybe John, one more question on the supply chain. So it sounds like it's kind of just, you know, remains in this whack-a-mole situation? And you haven't necessarily seen it deteriorate over the last quarter? 
John Lee: Yeah, that's a perfect description, Tom, whack-a-mole. Once we fix one particular issue, another one pops up. I think we're all getting better at handling it but the rate of surprises continues and I would characterize it as kind of very similar to what we've seen in the past several quarters. 
Tom Diffely: Okay, great. And then, Seth, what do you seen on your -- for your own internal inventory levels of some of these components, has it gotten a little bit slimmer over the last few quarters or are you still kind of at a good inventory level? 
Seth Bagshaw: Yeah, I think – hi, good morning, Tom. I would say inventory levels in total, obviously, are leaning into the higher production volumes. As I mentioned, prepared remarks, the overall demand across all of our portfolios are really strong, so we're very pleased about that. I really can't comment on individual components or inventory just on the data in front of me but I think it's safe to say that the components that we are working on to bring in to the operating facilities, probably lean on the inventory side as well, it just naturally is going to happen. But as John mentioned, our team is doing a great job, we've got a real strong operational team. I think we saw some supply chain constraints later than some of our peer groups is our impression, so I think it's a testament to how we've managed this, historically speaking. And we have a lot of comps who are work with us, you know, through 2022 as well, but the global fact that we're working through, but we're pretty optimistic we'll eventually pull out of this. 
Tom Diffely: Great. Okay. And then John, it sounds like some nice momentum on the HDI tool, is there a certain market inflection that we're looking for before those turn into real volume production? 
John Lee: No, Tom. I think that market continues to drive a roadmap to smaller features to higher density of features to even new materials and that really hasn't changed. But our tool is prepared and has been demonstrated, they can address all those types of challenges going forward. So we're really happy with you know, we've had tons of tools running in high volume manufacturing with two major customers, one's been running for nine months, one's been running for 12 months, so these tools are delivering revenue as we speak to those customers. And then we talked about a couple more design wins, one of which was for another high volume customer that we're all set up for future orders. So I think that's really a testament to the fact that the tool we have is really capable to run in high volume manufacturing, and we're really pleased with the progress we've made so far. 
Tom Diffely: Great. And then final question, John, when you look at the semicond market that will present equipment market, do you agree with the $100 billion estimate for this year and perhaps the second half ramp? 
John Lee: It's tough to say. I would say, Tom, that we're always ready for incremental increases in demands from our customers. As you know, we have our factories that are very lean and capable of ramping with surge capacity; we're always able to do that. And in 2021, of course, it was kind of an $85 billion to $90 billion WFE and we did pretty well. We believe we gained share in certain product lines as well. And we're ready for the higher WFE that some folks that predicted in that range or higher. 
Tom Diffely: Great. Well, thank you both for your time today. 
John Lee: Thanks, Tom. 
Operator: Our next question comes from Patrick Ho with Stifel? 
Patrick Ho: Thank you very much. John, maybe just following up another supply chain question for you. Can you give a little color is it primarily components and parts shortages that you're experiencing or is it a mix of different things, you know higher input freight costs, workforce reductions within your supplier base? Can you just give a little bit of color of, I guess, the different variables that are impacting you in the near term?
John Lee: Yeah. Yeah, sure, Patrick. I think, in terms of freight costs, that hasn't really materially got worse, it's not great; of course, it's been there and still there. In terms of workforce effects of our suppliers, it really was much worse in the early part 2021 with the Malaysia shutdown, but you know, recently that's really not been that big of an issue. It's really just demand outstripping supply for those electronic components that's really causing us the headaches today. 
Patrick Ho: Great, that's helpful. And maybe as my follow up question, also, for you, John, in terms of some of the opportunities within the RF power side, in the conductor etch market, are you leveraging the relationships in the wind you had on the dielectric etch to further penetrate into the conductor etch market, or some of these cool new opportunities? 
John Lee: We characterize it, you know, we have had long term relationships with all the major seven kinds of OEMs and our dielectric etch market share is leading as you know. And so that relationship has been there, those relationships have been there for decades. And then, you know, when they need a conductor etch supplier and a solution, that's really when we came in and got those few design wins that we talked about a few years ago, that we are now seeing the ramps with those design wins. 
Patrick Ho: Great, thank you very much. 
John Lee: Thanks, Patrick. 
Operator: Next question comes from Sidney Ho with Deutsche Bank. 
Jeff Rand: Hi, this is Jeff Rand on for Sid. While still very strong, your semis market likely undergrew WFP in 2021 and historically, your growth versus WFE will vary based on where we are in the cycle. Do you think this lower growth this time reflects where we are in the cycle or is it more of a reflection of supply chain environment? 
John Lee: Jeff, thanks for the question. Really, it's probably where we are in the cycle mostly and you're right, we were about the same growth rate as WFE, maybe a little less in 2021. But as you know, we front run the ramp and so our 2020 growth rate was 50%, which certainly was a lot higher than WFE. So we always looked at it in the long term and if you even take the last two years, 2021 and 2020, we outgrew WFE by 700 basis points. And so we're still very happy and confident with our model, which is the 200 basis points above WFE for the long term. 
Jeff Rand: And that's my follow up. How should we think -- how should we be thinking about the trajectory of operating expenses as we go through calendar year 2022? I would assume you'll see an uptick in travel and labor costs, but also perhaps a decline in some COVID safety costs. 
Seth Bagshaw: Yeah. Jeff, this is Seth. Thanks for the question. Yeah, so we guided in Q1 $153 million, you know, plus or minus 4 million. So, I think you'll see our expectations a little bit in Q2 and probably level outs, so probably $160 million range, sort of, you know, Q2, and thereafter is kind of good way of thinking about it, is how we looked at it. So that's kind of what I would use for modeling purposes. 
Jeff Rand: Great, thank you. 
John Lee: Yep. Thanks, Jeff. 
Seth Bagshaw: Thanks, Jeff. 
Operator: Our next question comes from Paretosh Misra with Berenberg. 
Paretosh Misra: Good morning. Thanks for taking my question. So in the semis market, it sounds like you expect sales to be flat or slightly down in Q1, is there any major product line in your semis portfolio where you think sales might be sequentially up or is that pretty much kind of same view across the board? 
John Lee: Hi, Paretosh. So, we have a very, very broad portfolio and so quarter-to-quarter by product category, it can vary. So even if the entire semiconductor revenue is flat to slightly down, there can be products that would exceed that. I would point out RF Power that we talked about in the script, you know, 2021, I think we grew in high 30% year-over-year growth rate. And of course, that's a great growth rate for the year, shows our leadership in dielectric etch, our incremental growth in conductor etch and the fact that 3D NAND is ramping as well as has helped. And so, you know, certain product categories could continue to grow and outgrow the average. 
Paretosh Misra: Got it. And in terms of how you guys are managing inflation on the component and logistics side. Are you announcing price hikes and is there -- depending on, I guess, the product, is there anything that would maybe kick in at the start of the calendar year that we should be thinking about in terms of price increase?
John Lee: Paretosh, we have, as you know, a profit and cash approach. That's something we do all the time every day and we're always looking for ways to make ourselves more efficient, ways to make sure that we're getting fair value for -- and fair price to the value we bring. So there's no, you know, step, increments of activity. That's something we do all the time. And so we continue to do that, we still continue to lean in, especially since the input costs are going up. But, you know, that's something we do all the time. 
Paretosh Misra: Understood. And if I could ask just one more, in the pressure measurement business, I believe you mentioned, it was a new record -- quarterly record. Is there any other color you could write in terms of where -- how much revenue you're generating in that business? 
John Lee: Well, you know, as pressure management, as you know, is the market leader there and we're really happy with its performance. I would say that that's one of those product categories that's outgrown the average, when you look at our semiconductor revenue. And that's saying something because when you're the leader in market share on that – in a particular category, it's really incrementally more difficult to grow market share, but we have, so we're really pleased with how the pressure team has performed.
Paretosh Misra: That's useful. Thanks, John and good luck with everything. 
John Lee: Thanks, Paretosh. 
Operator: Our next question comes from Joe Quatrochi with Wells Fargo.
Joe Quatrochi: Yeah, thanks for taking the question. I was hoping you could help us kind of maybe understand that the component availability in semis. I think, on a sequential basis, at least, within your light and motion business was up sequentially evolved, the vacuum analysis business was, at least from a semis perspective down sequentially. So, are you seeing a difference in component availability, just given the different building materials there or just any sort of detail will be helpful? 
John Lee: Yeah, Joe, thanks for the question. I think that I would characterize the differences between photonics types of products and vacuum-based types of products. Photonic-based products have little less electronic components to them in our subsystems versus the vacuum chamber types of subsystems. And so if there are a plethora of electronic component shortages, it certainly would affect our vacuum analysis type of products more than our photonics products. And so that's what we're seeing but it's affecting both sides now. But it's certainly a little more bigger effect on the vacuum analysis types of critical subsystem products. 
Joe Quatrochi: Got it. That's helpful. And then you talked about having the manufacturing capacity to support this 100 billion WFE this year. Curious, what about your suppliers, maybe thinking outside of the kind of component constraints right now, but how do you think about your suppliers manufacturing capacity to support you supporting 100 billion WFE? Do you need to bring on additional suppliers to do that? 
John Lee: Great question, Joe. So we have been, throughout, the last six quarters, bringing on new suppliers, working with current suppliers to expand their capacity and they have done a great job doing that. And I think really, it's really their ability to get those components, so it's really not their capacity, it's really just getting the actual electronic components so they can build them into their factory. So it's not done, it's continuously something we have to watch and work with our suppliers on. But that's really not been a major part of the constraints, it is just actually getting those electronic components. So it's really our suppliers, suppliers, in effect. 
Joe Quatrochi: Got it. Very helpful. Thank you. 
John Lee: Thanks, Joe. 
Operator: Our next question comes from Mark Miller with Benchmark Company. 
Mark Miller: Congrats on your record quarter. You've been talking about supply constraints but what about supply constraints at your major customers? Is that also impacting you in terms of reduced orders? 
John Lee: Thanks for the question, Mark. Our major customers, and I think it's true across the industry, continue to order at record levels, as we talked about demand is not the problem. And I think as some other folks have said, the visibility of demand is going out further and further than we've ever seen before as an industry, so that's not been the constraint at all. And even though the supply constraints are affecting the entire industry, it's not affecting how they're planning and how they're ordering. 
Mark Miller: Okay. What can you tell me about factory utilization, is that high? Do you still have some room to expand if you needed? 
John Lee: Yeah, it's a great question. I think when COVID hit and supply chain constraints continue to be challenging, certainly is a headwind on our factory utilization but that has been improving actually quarter on quarter on quarter. And so really, utilization has gotten a lot better. And the degradation gross margin is really about input costs, not about our utilization.
Mark Miller: Thank you. 
John Lee: Thanks, Mark. 
Operator: It looks like there are no further questions. I'll turn the call back to David Ryzhik for any closing remarks.
David Ryzhik: Thank you for joining us today and for your interest in MKS. Operator, you may close the call please. 
Operator: Ladies and gentlemen, this concludes today's presentation. You may now disconnect and have a wonderful day.